Operator: Hello, everyone, and welcome to the Scorpio Tankers Incorporated first quarter 2015 conference call. Today’s conference is being recorded. I would now like to turn the call over to Brian Lee, Chief Financial Officer. Please go ahead, sir.
Brian Lee: Thank you. And thank you everyone for joining us today. On the call with me are Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; and Cameron Mackey, Chief Operating Officer. The information discussed on this call is based on information as of today, April 27, 2015, and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosures in our earnings press release that we issued earlier today, as well as Scorpio Tankers' SEC filings, which are available at scorpiotankers.com. Call participants are advised that the audio of this conference call is being broadcast live on the web and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our website for approximately 14 days. Now, I'd like to introduce Emanuele Lauro.
Emanuele Lauro: Thank you, Brian. Good morning to all and thank you for attending our call today. My opening remarks are going to be short. We originally built this fleet with the expectations of a recovery in the product tanker market. The number of fleet operating days quarter-on-quarter are increasing substantially at a time where we experienced the early stages of this recovery. STNG has the highest operating leverage to rate improvement in the product/tanker market, and this is combined with the best fleets and the lowest overall cash breakevens. We would just like to thank our shareholders for their support and patience and we are pleased to partially reflect our optimism with an increase in our quarterly dividend. With this I would like to turn the call to Robert Bugbee
Robert Bugbee: Hi, thank you Emanuele and morning everybody. We are going to continue really what we’ve been doing in this first quarter and the year-to-date so far within our focus on execution and the prime focus on quality of earnings going forward, maintaining a strong balance sheet and of the quality of the dividend we will soon be reaching our let’s say apex of debt to equity and that will provide a platform with improving EBITDA to create some flexibility of the balance sheet. The product market continues to surprise us in its strength and diversity even though we’ve been you know pretty bullish in our actions last year and stock buybacks taking ships and on time charter and buying assets would reflect that. We’re really seeing that this is really beginning early stages of playing out to the cyclical combined with a cyclical recovery in the market which we’ll talk about a little bit later. And we’re still learning, we are still learning how best to fix our ships in this market it’s changing every day. I mean just in the last two three weeks we’ve done our first fixture whereby we’re taking gasoline into China and those ships have back loaded with diesel out and virtually every week a new trade route opens up. We think that you know we can still improve, we can still improve on our chartering, we’re about sort of 70% there in terms of learning what to do with these new eco-ship, and but there is that room for improvement and we will continue to work on that. We also think there is room for improvement in our borrowing costs as evidenced by our low-cost financings you know we’ve managed to get finances here under 200 basis points and again as the balance sheet develops and we get that EBITDA, hopefully overtime we’ll achieve that. I think that you know it’s pretty simple, the numbers speak for themselves on Q1, guidance for 2Q. So with that we just like to turn it over to questions please.
Operator: Thank you. [Operator Instructions] And we'll take our first question today from John Chappell with Evercore ISI.
John Chappell: Thank you. Good morning guys. Brian, I was hoping to go with the share count just for clarity. The net income came in much higher than expectations but the EPS was essentially inline because of the higher share count. I know you kind of flashed it on the front page but I just want to be clear 151 million basic shares, 186 diluted now you are saying that your current share count today is 163. Based on the fact of what you book for the second quarter looks like it’s going to be a very profitable quarter, again we have to think that these are not going to be in fact dilutive, do we add the 31 million shares to the 163 to assume it’s going to be 190 whatever 4 or 5, 6 going forward and then take up 5.3 million of the interest expense and amortization or is it going to be different the calculations this quarter.
Brian Lee: The difference between the 151 and the 153 has to do with sun son vested restricted shares and how they are treated for EPS purposes only. So that number is growing every quarter as vesting will go on, so that number will go from 151 to I don’t know that number but it probably goes up to about a million shares. And I can go with the rest of it with – the other part of the calculation yes, you were probably out there, once the dividend goes into play here we will have additional shares because the conversion ratio changes and the converted but they will again go up by 131, 132 million shares into that number, so that will be and then plus some other adjustments so you are probably looking at 188 of the top of my head right now 189 as a whole dilutive share count.
John Chappell: Okay. Can we still take the 5.3 is that going to be consistent in the calculation?
Brian Lee: Yes, for the quarterly number it’s going to be a little bit vast [ph] and will be able to get higher through to the accounting for the converse, so you could see that goes up by a little bit to that’s what I mean materially above the maybe 5.6 something in that area.
John Chappell: All right, that’s very helpful. Another question I don’t know if you want to answer this one or maybe Robert, just curious about the Nomura facility. It seems like everything is fully financed and $30 million isn’t an awful lot but it is more expensive than any other facilities you’ve received, so what was the thought process behind that one?
Robert Bugbee: It’s just; yeah it just adds just the flexibility. I mean we’ve been through a – when the markets have been stable now for a few weeks, it’s sort of kind of looks maybe pointless but we’ve been through a period of tremendous volatility. I mean it was only two, three months ago that we were able to buy stock at $7.80 [ph] so you know keeping some flexibility on that balance sheet we just think is a good thing to do.
John Chappell: Okay. Last one, I’ll turn it over. Robert you indicated you are reaching the apex of your debt to capital and you can see that your CapEx schedule after this quarter it falls meaningfully. It’s very difficult obviously to forecast rate environment going forward, but once you pass the peak of the CapEx program do you think the capital deployment schedule starts to reaccelerate a little bit you’ll see more meaningful increases in the quarterly dividend as the vessels hits cash will accelerate.
Robert Bugbee: You know the board met this morning prior to the announcement of these earnings as it would usually do on earnings release. And we are very focussed on the quality of the dividends, sustainability of the dividend and you know now not spending money before you have it but in that like the board approve the increase in the dividend today because it’s very apparent that we’ve got this very strong start to the second quarter. But most importantly a direct answer to your question the board said that it would discuss dividend policy in its early summer board meeting just after the AGM which is around May 26, 27.
John Chappell: Okay, got it. Actually one more quick one on the top of my head. The two LR1 options they were announced late last year and I think you have until the end of June, I’m sure they are correct, to exercise those, any thought process on that?
Robert Bugbee: No an option is an option. For clarity those were LR2, it’s not LR1s but you know just for the record.
John Chappell: All right, thanks guys.
Operator: We’ll take our next question from Ben Nolan with Stifel.
Ben Nolan: Hey guys nice quarter. I have a few questions, I guess first on the charter and strategy it looks like you guys added a couple of MRs and then LR2. The MRs is a relation to the MRs, it seems as though the time charter rate versus the spot rate that has been relatively well sustained for a little while here has not closed like I might would have thought it would. Do you have any thinking behind why the average one year MR rate is hovered around $16,000 a day while those spot rates have been you know north of 20 on average for a while now – is there, what’s holding it back I guess?
Robert Bugbee: Well I think they are edging up all the time and you know that’s the rate for a non eco-ship and you know now it’s those rates that we got around repeatable I mean there was a little bit of down drop in the market at the point where we are fixing those ships and the market recovered strongly. So at that particular time, you know that’s what those charters are reflecting. I mean right now, you know I don’t even think now you can go into that market and repeat that because you are correct each day that you have this sort of $20,000 number you know it’s great thing you drag upwards on those rates, but just the same is its values, same in purchase values of product tankers. Charter rates will gently lag the actual spot market itself as people get more and more comfortable with this position. I mean normally a metric [ph] surprised everybody, this is surprising us. I mean we’ve got a very accounted seasonable market in the product market. These rates normally you would not even expect even in a growth market for them to be where they are. We’ve only got 5 or 6 weeks of sort of weakish period as we got through these turnarounds. Now, you know even now I would you know you are so cautious. You are sitting there thinking, well you know there is still 5, 6 weeks of potential softness here, but eventually they are catching up. And if you look at the LR2 market, the LR2 market those the rates are – the charter rates are definitely there and that’s because it is extraordinary to have LR2 so strong at this point. And you know as you get into looking forward into the third quarter where round about June, July you actually get into that market strong period combined with refineries coming up people are already anticipating that, because when you are able to show the numbers we are showing right now in the off-season you know that opens up very big numbers like you know 50,000, 40,000, $50,000 a day coming into this -- coming into the third and the fourth quarter, as we have evidenced we’ve already on occasion fixed in the 40. So that market is already moving fast in its time charter area. Then -- as far as lagging and they will catch on. And what’s being announced is reflective of the weakness of the market four or five weeks ago.
Ben Nolan: Right, I see. And I suppose to your other two comment that the rational behind chartering the one that you did which is at materially higher rate than you had previously chartered in and inherently there is a bit more risk to it, but it’s a function of sort of your outlook of the market, would you consider taking any more of those on by any chance?
Robert Bugbee: Very, very – at that rate yes, but it’s not sure that rate can be repeated. But I’m pretty sure that rate is hard to retrieve that was a very very fuel efficient shift even if it was you know not as fuel efficient as our new deliveries. That market is just moving very very fast. It’s moving not just because you have got this underlying strength as the new refineries; it is also moving because the Aframax market is very strong too. So there are other owners and some of these are public companies who have taken their older LR2s and shifted them and as time will continue to shift them into the crude side. So and the amount and the people who -- the actual capacity, new capacity developed to tonnage coming on the water is held be very few hands. I mean literally over the next three, four months you know something like over 50%, 60% also the new LR2 deliveries that are held between two companies that’s what sells and navigate products and that market is getting itself pretty consolidated underneath the time charters and pooling. So that’s got a very very high data, a very fast growing demand line and a very concentrated supply line.
Ben Nolan: Yeah a question and just out of curiosity are you guys operating – I assume you are operating all of your LR2s in particular in-between trades, is the assumption right. So and my last question has to do with sort of maybe your thinking with respect to the market in general obviously rates have been as you said seasonally stronger than you would probably most anybody would have expected and you know demand in strong and consumption is strong, but is there anything out there that does keep you up and now I mean is it that your rising inventories or you know I don’t know what causes you to atleast be a little conservative if anything?
Robert Bugbee: While I mean what keeps it up [Indiscernible] is what we’ve been focussed which is the execution of delivery of this massive fleet. And now we are coming to the end of it, we’ve got a couple of more months to go, but and frankly touchwood the technical [ph] of the operations people in the company have just done an outstanding job. We were very concerned that you know we ourselves even though we had contracts or positions would have further slippage on those new buildings, there has been slippage and we’ll just be so happy to get those ships in the water because that’s what’s also affecting the supply side is because you are just having sometimes people don’t actually know when they are going to get their ships delivered because the odds are drifting ships or the ships backwards. So we’ve experienced delays at the front of the traffic jam others they are going to experience think delays at the back. So it’s the operational, technical cost of having taken this huge fleet that is lets say kept us up at night. In terms of the -- we can’t worry about the unexpected macro of things that could come. If we look at what we see in the market it is generally constructive, we have a lower oil price that’s stimulated the demand. We have the refineries that we’ve all been waiting for finally and remorselessly coming up. And on the margin, you are getting very good news, we have another great announcement from Australia that they are going to increase their product imports. As I said earlier we’ve had those first proper product trades into China. We continue to expand our shipments into South America, Africa and you know with the where the shale oil is, with the shale oil production coming down that can only be good news in terms of the inability for those U.S. east coast refineries to compete, so therefore we will probably get larger than expected demand for products out of Europe. So barring a macro event with strong general demand combined with a secular shift in refineries and that’s without having talked about the improving vegetable oils and farm oil trades, it’s very hard not to be very excited related to the long term demand side.
Ben Nolan: Okay, great. Well that’s helpful and I’ll turn it over but nice quarter.
Operator: Our next question comes from Gregory Lewis with Credit Suisse.
Gregory Lewis: Yes thank you and good morning.
Robert Bugbee: Morning.
Gregory Lewis: Robert, I think you addressed you know the LR2 to trade off your vessels but as we think about you know beyond Scorpio’s fleet and the broader market do you have any sense for how many if any product tankers on a percentage basis maybe you are actually trading crude just given the strength that we’ve seen in sort of the Aframax market?
Robert Bugbee: While you don’t get an exact sense but you know we don’t get that until we look back historically. But as I alluded to earlier, you know certain companies are making choices and taking some of their LRs and putting them into crude. One would expect there’s going to be a high temptation as you continue to increase the regulatory environment on products enough for some of the older MRs to do it as well; you know right now it most visible on the bigger ships.
Gregory Lewis: And I’m just thinking about bringing that vessel back to do products. Could you give us a sense on the turnaround time and the cost of converting or cleaning that up to get it back into the product trade?
Cameron Mackey: This is Cameron. Its – how you doing, it’s highly dependent on a number of factors what we would do in that type of position and we’ve been there before and we’re not unique, is anticipate somewhere more than six months of trading at a very severe discount to the current market rate. So, if you can get cargos at all, because the risk really to the customer is that of contamination of their cargo. Nobody wants to take the risk on a ship that’s recently traded in crude oil. So, if one can obtain a first cargo, it doesn’t necessarily follow that they can obtain the second or a third. So, as a general it might be something more than six months at a very, very low rate if at all.
Gregory Lewis: Okay, great. And then Robert, in your prepared remarks I think it was you mentioned the strength in the product market and the diversity of that, was that more on a – from a buyer standpoint or was that more on a cargo standpoint or was it both?
Robert Bugbee: That’s just more on the cargo, I mean, this is not an extraordinary thing about this second quarter is shaping out, because there’s nowhere in the world where the market’s weak. You’ve got lot of scale 140, 145 and in U.K Comp [ph] that’s probably going up this week. You got one -- you’ve got over 100 in U.S. Gulf and that’s pretty firm with refineries coming back on line. You’ve got Asia pretty steady and you’ve got Middle East pretty steady. That’s amazing to have all of those markets in a steady sense. So you know and that’s the same with the vegetable oil, the same with palm oil. So you are really – its broad, I mean, the MRs are doing fine, the LR2s are doing fine. And that’s where it becomes exciting because you’re able to – you don’t have – so far you’re not having to stress yourself out too much on, oh my god what percentage do we need in East, what percentage do we need in U.K kind of what percentage do we need in the U.S. Gulf. You’re able as I was trying to allude to earlier, focus your trading desk on optimizing your rotation and cargo type, that’s very unusual in a second quarter.
Gregory Lewis: Okay, guys. Thank you very much for your time.
Operator: We’ll take our next question from Spiro Dounis with UBS.
Spiro Dounis: Hey, good morning, gentlemen. Thanks for taking my question. Robert you mentioned the refineries coming on line in Middle East, India and Asia, looks like that’s sparked some elevated interest for Suez and Max -- product tankers I guess are being called LR3s. I guess this is only handful right now, but do you see these tankers as maybe the next logical step in vessel growth or its been crowding out our LRs or do they maybe benefit MRs because of the lightering due to poor constraint?
Robert Bugbee: I think for a reasonable while that’s just an interesting news piece and [Indiscernible] because you’ve got a lot of severe restriction on product terminals once you get beyond the LR2 categories.
Spiro Dounis: Got you. Make sense. And then just going back to the I guess the Dorian margin loan, looks like there’s no plans to sell down there, just given the fact if you get that loan, if you wanted to though could you sell down some shares without showing a partial repayment. Just wondering can you give us some color on time restrictions or events that might trigger if you were sell down some shares at some point?
Robert Bugbee: We could buy too.
Spiro Dounis: Sure.
Robert Bugbee: I mean, the company here is massively under NAV and market is earning $84,000 a day. So now we expect the company at some point to do something logical like I will sell assets and put them in stock buyback or to pay a dividend then show the market is cash flow strength.
Spiro Dounis: Fair enough. That’s from me. Thanks.
Operator: We now hear from Omark Nokta with Clarkson Capital Markets. Q - Omark Nokta Hi, guys. Good morning. I did want to just get back to the LR2 and maybe you could give some color on the fixture that you disclosed last week on that latest newbuilding and coming out the rate of 41,000 was definitely a big step up from the series of fixtures you’ve done before in that 30 to 33 range, especially one that has been done a couple of weeks before at that 33. So just want to get a sense you know what it is about that fixtures. Is there something special about that one with timing? Why was it that allowed you to get such a pretty solid rate? I know it’s a short term only 50 days, but in a grand scheme of things this is not that big, just in general just trying to get a sense of being able to get…?
Robert Bugbee: Sure. We can’t really go into more details than we can, because of the actual trade itself. I think it’s really important in the grand scheme of things and with all due respect I think that the ability to hit an LR2 with a four-number and inside those results we’ve even hit an LR2 on the spot market that wasn’t disclosed because there wasn’t a newbuilding with a five number already this quarter. In the grand scheme of things that tells you an awful lot. If you can remember back to the last cycle what was so important was where you could fix ships in the off season, because if you could fix ships in the off season in the 15s or 20s normally that would open up the ability to double that in the strong season. So it is really important to us in the weak season to have these outliers and hey are outliers to a 29,000 average that are so far to the top, because that means that if you got a market that’s tight enough to do that in the off season you can hold back even more and hope to drive things up even further in the strong season.
Omark Nokta: Yes. That’s really helpful. That it means, if they’re little bit significance of it, so I was just thinking and obviously in the context of revenues?
Robert Bugbee: No, no, I’m sorry, I don’t mean in that way. You’re right in the context of the actual revenues. I’m talking about the importance for us is look that the quarter is interesting, the first quarter is interesting, the guidance of the second quarter is interesting. But what matter is most to us is where does this company sit in terms of its revenue and its EBITDA ability. When we’re in that third and fourth quarter, when these refineries come up combined with the manual size, the fleet being predominantly finally delivered. And what happens in 2016 as well going forward as you start to decline the order book growth. In other words we have already moved beyond the second quarter even in our thinking.
Omark Nokta: Yes. Thanks, Robert. And also just wanted to just check back, I remember last quarter on the call you’d mentioned looking at the Atlantic Basin Triangle, that marker has been less and less relevant as a sort of parameter for your MR fleet. Does that continue to be the case as what you’ve seen over the past couple of month, does that -- are we still drifting away from that into something different like you had discussed with taking into the account the Europe to the U.S?
Robert Bugbee: Yes. I think yes. Drifting into a more diverse market with different opportunities that is the actual trade in North Atlantic is very susceptible to different ops etcetera. Maybe we’ll get that triangulation back as we approach driving season, because then you’d have that natural diesel from U.S. Gulf into Europe and gasoline back out of Europe. Let’s not count on that. Let’s just take it as a great pre-moderated [ph] that if it happens. And as a company itself expressed in that second quarter, we said we’re much more than just an MR Atlantic play and you can start to see the playing out to these LR2 map [ph].
Omark Nokta: Yes. Thanks Robert. That’s it from me.
Operator: Next question will come from Doug Mavrinac with Jefferies
Doug Mavrinac: Thank you, operator. Good morning, guys and congratulations on a really great quarter. My first question for you Robert is that, when we look at all of the sources of demand and there are five products tanker market right now. I mean, if you guys can just narrow in on what’s happening in the Middle East and when you look at how the impact that its had on the LR market, are you in a position to be able to gauge kind of where they are in terms of the ramping up of say [Indiscernible] expansion because that would give us an idea as far as how much more runway we have out of that one particular region. So if you look at the cargos coming out right now, do you have any sort of sense as far as where we are in the progression of the ramping up of [Indiscernible]?
Robert Bugbee: There are couple of passes, that’s a very good point. And then we’re staying steady ramp up from a pretty low point and March was pretty de minimis and in February like four cargos and in March we get into sort of six, seven. So it’s gently ramping up. And if we take the history on what they’re saying, this sort of really start hitting it full straight round about July. And that’s the part that we’re seeing we’re also on tender hooks all the time. We have been working as close as we can with Unifax [ph] because many people focus on the fact that it’s a Middle East and refineries. I guess more as importantly or more importantly is who can potential customers be and you have a Chinese in there as financial and partners. And we think we saw the birth of a new market a few weeks ago. So it will be incredible as you get that, once you get that first LR2 fixture going in that.
Doug Mavrinac: Got you. That’s very helpful. Thank you. And then in your last set of questions and you answer for Omark. You talked about the last cycle and how things kind of played out. And when we look back let’s say three or four, I remember back two, three or four, it seemingly took about a year before the increase in spot rate really resulted in a big move in time charter rates, but once that move happened it happen violently to the upside. And so with that in mind and obviously you guys are completely plugged in with what happening not just using your own business but to your peers as well as competitors, are you seeing any sort of anecdotal signs that charters are getting more anxious to lock and permit it here, I mean, are they approaching you or others with vessels soon to be delivered to hey look, we know where the market is going and what are lock-in now, so are you getting the sense that charters are getting little bit nervous now the rates have been strong for so long?
Robert Bugbee: Well, I wouldn’t say nervous, because I think what’s great with the product market unlike a lot of other markets is that the charters themselves have got pretty long themselves in tonnage, right. I mean, Shell took a – ordered the whole bunch and new ships along with us, you know Whithall [ph] did the same. And they’ve taken time charters, so I wouldn’t say -- I would say more excite than anxious because they like a strong market at this point as they changes. I do think that they are showing more interest, I mean, there is no question that we’re getting inbound, inbound from both, and yes, there is no problem in product tanker owners that’s been shipped out and I think you will see from some of our competitors as the start to report that anxiousness were not all excitement or whatever you want to call it is also there because people that were on that – wanting to fix on time charter as owners as their balance sheet gets stronger starting themselves wanting to shift more to the spot markets as well.
Doug Mavrinac: Got you, got you. Thank you.
Robert Bugbee: And I think that something we haven’t discussed is the whole theme of consolidation. I think it’s fantastic that the capital markets have some discipline in not sponsoring the building program. I’m pretty sure behind the scenes that you’re going to get some consolidation between some of the private sponsored companies that are not listed that you’re going to get increases in consolidations on the commercial side through more pooling et cetera.
Doug Mavrinac: Got you. Thank you. And then my final question actually some of your commentary and the answers to the preceding question kind of segway to that, but when you talk about you know kind of the Shell’s having place orders and the Smart Money having placed orders a couple of years ago, over the last five quarters we haven’t seen a lot on the newbuilding side and no ones really kind of test on the fact that if you look at the order book, its really showing fleet growth decelerating. So, my question is, when you look back over the year or so kind of what’s been behind from your view the decline in orders and then also now that the market firming up and we kind of see demand growth accelerating, supply growth decelerating, what’s as soon as anyone can do to add new capacity at this point?
Robert Bugbee: The last question as we’d guess is sort into 2017, but there’s no anxiousness, I mean, there is a company like us is, there’s really no much point enough ordering new ships that would be a dilutive event to the cash position. And Wallstreet itself I don’t think is there it funds speculative newbuilding ventures now that they’ve got companies in the -- to do it. And a lot of the competitors are still trying to work themselves out from the previous cycle or restructure or go forward. I think that’s so good so far.
Doug Mavrinac: Yeah, so it’s just a matter of enjoying the ride for the guys that for the first movers.
Robert Bugbee: Hopefully yes.
Doug Mavrinac: Near perfect. Well, that’s all I had Rob, and once again, congrats on a great quarter.
Robert Bugbee: Thank you.
Operator: Now we’ll hear from Fotis Giannakoulis with Morgan Stanley.
Fotis Giannakoulis: Yes. Hi, guys and congratulations for the good quarter.
Robert Bugbee: Thank you.
Fotis Giannakoulis: Robert, I want to ask you how this second quarter has develop so far, obviously, you must have charter the most of these quarter days. Can you give us a guidance of how many days you have already chartered from the second quarter and at what rate? A - Robert Bugbee I can. We have for handymax we fixed $20,000 a day for approximately 37%. For MRs we fixed 23,000 per day for approximately 35%. For LR1s we fixed at $24,000 a day for 48%. And for LR2 we fixed at $29,000 per day for 48%.
Fotis Giannakoulis: Okay. That’s really helpful and these are great numbers. I want to ask you about the current order book. There are about 240 MR vessels on order right now. Obviously, you are quite optimistic about this year and the market it looks very strong. Where will this demand is going to come from and if you can break it down in regions how much do you expect U.S. Gulf exports are going to grow and what are the trades do you think are going to come from the refineries that they are coming on line Asia and Middle East? What is the volume that is going to move from these refineries and to where?
Robert Bugbee: Okay. First, we have to include the handies to get 240, because there are less than 170 MRs now on order. I think we just look back to what’s happen in this last year. This last year we’d being delivering at a pretty strong rate cliff, yet the market rates are substantially higher than last year, so therefore we know the demand is growing at least or/and greater than the supply side that we’ve had in this last year period. So in some areas we’re getting very higher numbers of demand growth, because they’re starting from low levels now in the 20% level and certainly in the 10. I think we don’t have a conference school long enough to go exactly through each of the regions but if we look at it obviously U.S. Gulf exports are increasing and South American demand and West African demand is there. Obviously, Arabian Gulf exports are increasing and we’ve got Asian demand as a result of price just generally in the world the economy is supportive. There are more cars and people like [Indiscernible] under pressure, so consumption is good. And we have countries like Australia that are hell bent on reducing their crude oil imports and substituting with product imports. All this is creating a tremendously expensive demand line coupled with the expansion of the vegetable oils and the palm oils.
Fotis Giannakoulis: Do you have an estimate of a ballpark number of how many barrels each day?
Robert Bugbee: We do, but we really don’t want to share it. I mean, we don’t need to make in easy route for everybody. So, we understand that it’s very hard to model and that’s part of our privilege of having so much of a percentage of this total fleet.
Fotis Giannakoulis: Okay. Thank you. We certainly have to respect that. And can you tell us we have seen the Atlantic market being even stronger than numbers that can earn through an Atlantic triangulation at a much higher than the average numbers across the world. Can you tell us how many of the vessel that you had in the first quarter they manage to achieve this triangulation or if you can give us…?
Robert Bugbee: There wasn’t much triangulation as we’ve said previously in the first quarter. There was -- in the first quarter there was not the environment relief for triangulation. It was – the U.S. Gulf Cargo was going East to West Africa or South America and U.K Comp Cargo was predominantly just going into U.S. EC or Medcon [ph]. And what we said previous on the call is perhaps now you set to seeds again for some triangulation there been more U.S. Gulf cargos as we prepare for summer. But the first quarter was not a market that triangulation meant anything.
Fotis Giannakoulis: Does this change in the second quarter?
Robert Bugbee: It could change, it could start to change. But as I said before, let’s not count on that. Let’s just take it as cream on the cake if it happens.
Fotis Giannakoulis: Okay. That’s great. And I want to ask you about the asset values we have seen that despite much stronger chartering market, but assets value they have stayed there relatively stable. I don’t if this is attributed to the weakness of other sectors not related to product tankers and if there is any pressure from the shipyard because of access capacity to lower their prices, do you view it as an opportunity to acquire more vessels right now and how do you explain the fact that the asset prices have not follow the charter rate?
Robert Bugbee: Well, I think its quite normal that asset prices lag, that’s sort of happened in the previous cycles and I’m fairly confident that they will catch up in months to come. But frankly we had weak sellers, you know, we had people who haven’t fully finance their position and it simply had weak sellers determining prices recently.
Fotis Giannakoulis: Does this mean there is any opportunity for you to expand given this weakness?
Robert Bugbee: Well, I think that we’re going to be very conscious where we are as a company. So I don’t think that we want to be – I’ll tell you want would be exciting. What would be exciting would be our ships that are right at the front of the curve delivering really, really, how quickly, what not exciting is taking someone’s reserve for the delivering in nine, 12, 15 months’ time. But we did a deal like that earlier in the year, but those were really discount prices, $50 million for an LR2, well, that’s kind of worth of weight because it’s so discounted to the market. But generally buying ships for us that are at the back to the curve would be overall dilutive.
Fotis Giannakoulis: And one last question I think you have answer that before but it might be good if you can repeat your view. Are there any thoughts about potential transaction similar to the conversion of a dry bulk orders over…?
Robert Bugbee: There’s no chance really. I mean that’s kind of -- that was an opportunity that the dry cargo market presented for very short window and we would not see any – we don’t expect to see any more conversions across the market from dry into products.
Fotis Giannakoulis: Okay. Fine, that’s from us.
Robert Bugbee: Thank you.
Operator: Moving on we’ll hear from Shawn Collins with Bank of America.
Shawn Collins: Great, thank you. Good morning guys. I just wanted to ask what you are seeing in your trading activity in Latin America and Brazil specifically Brazil is comparing [ph] to bit of a slowing economy and some controversy around Petrobras. I just wanted to get some color on any change in activity you might be seeing there, whether this might be positive or negative?
Robert Bugbee: We’re seeing accelerated activity because you know obviously as there are well reported issues play itself out the thought of them actually building and increasing their own refining capacity to serve their economy you know is getting further away and less certain and that’s beneficial to the product tanker market itself, because you can have a flat economy, you can even have a -- you can even have declining GDP where you can still have you know very quickly accelerating product tanker inputs as a result of other dynamics which is what we’re having.
Shawn Collins: Okay, great that’s helpful thank you. And then just the product market is obviously strong switching and thinking about the chemical market can you comment on what you are observing now and experiencing there and if you can somewhat compare it…
Robert Bugbee: We are so focussed on our own execution that we simply any comments we would make would not be based in any real empirical data so I’d like to pass on that question.
Shawn Collins: Okay, understand. Okay, well thanks for the time that’s all from me. I appreciate it.
Robert Bugbee: Thank you.
Operator: Our next question comes from Eirik Haavaldsen with Pareto Securities.
Eirik Haavaldsen: Hi, Robert. When you chartered in an MR 17,000 network and that would also become interesting for you to charter out some of your vessels. I mean that 17,000 that’s actually quite decent equity return for you guys that’s all.
Robert Bugbee: It is, but we’re not going to comment on that. I mean, we are never going to negotiate in public, right.
Eirik Haavaldsen: I understand that, and secondly you always said that on the tanker side 2015 and 2016 would be about playing golf. How is that the view changed for you? -- I mean with the way the market has in a way surprised on the other side, is there anything to -- you have several competitors out they are trading at discounts and maybe you know I know you would disagree with me but I think your valuation is still at may fill up the premium turnover, you feel you could use that, but how is your kind of long term view change over the past six to eight months?
Robert Bugbee: Lot tough gears were better and we’ve already booked the Scorpio [Indiscernible] and you don’t expect the company to be invited, so we are looking forward to life.
Eirik Haavaldsen: But I mean and one of your competitors the [Indiscernible] they have ordered two LR1s for 2017 delivery. I mean with the current state of their yards being relatively weak do you think there’s – I mean that’s going to be the next negative thing or do you see a flurry of think more of this.
Robert Bugbee: But we have spent a year or two years trying to find a negative signal and all you’ve been doing is upping your earnings estimate, upping your price targets and following it up. So I’m sure there are lots of negative signals they always like to be potential signals but we’ve not negative, we’re positive, and we’ve been right. So thank you, next question.
Operator: And next we’ll hear from Magnus Fyhr with GMP Securities
Magnus Fyhr: Hey good morning. Just one question here there seems like there is a lot of focus on execution. Can you give us an update now with another quarter under the belt on you know how these eco-ships are operating and how you see the cost savings?
Cameron Mackey: Mag, it’s Cam. Our answer hasn’t changed in more than two years which is, it’s exactly as we described at the beginning, not better, not worse but the same. So the larger the ship, you get a double benefit one is, you get greater efficiency in these improvements and the ship spent more of its time underway but like I said at the time that we were being challenged quite extensively on this topic our answer hasn’t changed, and I think the industry also has come around that this is just a fact of life going forward. So we are very pleased but no update for you it’s the same.
Magnus Fyhr: Okay, fair enough. Just one follow up question on it seems like you guys are moving into the harvest mode here with you know I mentioned there are not that minor opportunities in the new building market. What’s -- I mean are you happy with the size now you almost had 90 ships including the chartered in-fleet what’s your thinking there as far as taking fleet to another level?
Robert Bugbee: Okay. That’s very – I mean it’s like for one reason or another it would be a total order for us to go and buy somebody’s fleet. You know we’re not going to go and buy people because -- fleets and you know we have the boat running and its running strong. And you don’t say never but there’s no point in just buying somebody just for the fun of it or the size. I mean we’ve always did wrong every single decision is going to be return oriented. It’s the same type of thing. You are not going to buy order and new buildings or take people far away in new building inline because that is dilutive. If you go and buy companies you know even if it’s accretive on paper it can be very very time consuming and stalling . We have been much better stellar of companies as a management than a buyer of companies as management.
Magnus Fyhr: Okay, very good. Can you…
Robert Bugbee: This is nice, but…
Magnus Fyhr: All right, so with all that in mind would you say that focus on quality and its one of the – on the high…
Robert Bugbee: Yes quality – quality, sustainability and quality isn’t.
Magnus Fyhr: Very good. Thank you.
Robert Bugbee: Thank you.
Operator: Ben Nolan with Stifel has our next question.
Ben Nolan: Actually I have sort of addressed it. I was curious really though just as a follow up you Robert, you had mentioned that you would be surprised if there weren’t some consolidations maybe to some of the private equity back fleets and I was just curious how you thought you might you know that Scorpio might fit into that mould but it doesn’t sound like that’s again that your…
Robert Bugbee: Well I think the way they would logically fit into this model was the I think what we can do and we would be very open to is where we would offer you know companies with strong operations etcetera to pool in our pools. We don’t have any problem in continuing, consolidation on the commercial side. And that will be very logical for these companies. Many of these companies will be focussing at our assets and if we can show them value in overall returns by putting their ships into our builds we will get the benefit of consolidation without the disruption of acquiring the actual assets or companies themselves.
Ben Nolan: All right it makes sense. All right that was – just wanted to follow up on that one thing.
Operator: We have no further questions at this time. I’ll turn the call back over to Robert Bugbee for any additional or closing remarks.
Robert Bugbee: We thank everybody for joining us today. We’ll talk to you soon. Thank you.
Operator: And ladies and gentlemen that does conclude our conference for today. We thank you for your participation.